Operator: Good day, ladies and gentlemen, and welcome to the Third Quarter 2012 Gevo Incorporated Earnings Conference Call. My name is Anne and I will be your coordinator for today’s call. As a reminder, this conference is being recorded for replay purposes. At this time, all participants are in listen-only mode. (Operator Instructions) We will be facilitating a question-and-answer session following the presentation. I’d now like to turn the presentation over to your host for today’s call, Mr. Mark Smith. Please proceed, sir.
Mark L. Smith: Thank you. Good afternoon and thank you for joining Gevo’s third quarter 2012 conference call. I’m Mark Smith, Gevo’s CFO. With me today are Pat Gruber, our Chief Executive Officer, Brant DeMuth, our EVP of Corporate Communications and Development, and Brett Lund, EVP and General Counsel. Earlier this afternoon, we issued a press release which outlines the topics that we plan to discuss today. A copy of this release is available on our website at www.gevo.com. I would like to remind our listeners that this conference call is open to the media and we’re providing a simultaneous webcast of this call to the public. A replay of our discussion will be available on our website later today. We want to advise you that this discussion will include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. All statements other than statements of historical facts are statements that could be deemed forward-looking statements. These forward-looking statements are made on the basis of current beliefs, expectations and assumptions of the management of Gevo and are subject to significant risks and uncertainty. Investors are cautioned not to place undue reliance on any such forward-looking statements. All such forward-looking statements speak only as of October 30, 2012 and we undertake no obligation to update or revise these statements whether as a result of new information, future events or otherwise. For a discussion of risks and uncertainties that could cause actual results to differ from those expressed in these forward-looking statements, as well as risk relating to the business of Gevo in general, see the risks disclosures in the Annual Report on Form 10-K of Gevo for the year ended December 31, 2011 as amended and in subsequent reports on Forms 10-Q and 8-K and other filings made with the SEC by Gevo. This conference call will also include a discussion of non-GAAP financial measures as that term is defined by Regulation G including EBITDA adjusted for non-cash compensation. The company believes this information is useful to investors because it provides a basis for measuring the operating performance of the company’s business and the company’s cash flow. The company’s management uses these non-GAAP financial measures along with the most directly comparable GAAP financial measures in evaluating our operating performance and cash flow. Non-GAAP financial measures should not be considered in isolation from, or as a substitute for, financial information presented in accordance with GAAP and non-GAAP financial measures presented by the company may not be comparable similarly titled amounts reported by other companies. As appropriate the most directly comparable GAAP financial measures in information reconciling these non-GAAP financial measures to the company’s financial results prepared in accordance with GAAP are included in the earnings release which is posted on our website. In today’s call, Pat Gruber, our CEO will begin with a review of our recent developments and provide an update of our startup operations at Luverne. Following Pat’s presentation, Brett Lund will review the status of our IP and the ongoing litigation with Butamax. I will then review our financial results for the third quarter of 2012. Following the presentation, we’ll open the call up for questions. Brad will also be available for the question-and-answer session of today’s call. I will now turn the call over to Pat Gruber, Gevo’s CEO.
Patrick R. Gruber: Thank you, Mark. And thanks everyone for taking the time to listen to our quarterly call. For those of you who are new to the company, in brief, Gevo technology converts existing ethanol plants into biorefineries that in addition to ethanol they could produce isobutanol. Isobutanol itself is a versatile platform product that can displace petroleum based chemical to fuels. We recently started up our first commercial scale isobutanol biorefinery in Luverne, Minnesota and we have a marquee list of partners including Coca-Cola, Sasol, LANXESS, Toray, Mansfield, Land O' Lakes among others. As I stated in the press release, with Luverne's initial startup work behind us, we are now turning our attention to further increasing future isobutanol production rates. We accomplished our initial goals of proving that we can produce isobutanol at large scale, generating bio-isobutanol for business development, and, most importantly, capturing the know-how to run a large plant, including the identification of process bottlenecks. Now these bottlenecks are being addressed through both equipment and fermentation process improvements. So here is what we did so far. We made sure the equipment and basic process work, we tested the process parameters to find its limits, we've had sort out the complexity of inputs and identified their impacts. Importantly, we learned how to beat ethanol in yeast in a non-sterile fermentation setting, we produced significant quantities of isobutanol, and we identified the issues and what needs to be done to reach our long-run goal of 18 plus million gallons per year. Next, we have to resolve the issues and optimize the process. Our current objective for isobutanol has two parts. One, produce consistent quantities and quality of isobutanol in order to meet our customer demand. And two, produce isobutanol at economically viable rates and beyond. Now, many of you’ve heard me say in the past that startup suck, you’ve heard me say this over the 18 months. What I mean by that is that there are always issues that crop up and that have to be overcome. Here is some background perspective. Our team has been involved with over a dozen new technology commercializations, these cut across chemical and bio-processing technologies. Every one of these, all of which were successful, they all required the teams to work through challenges. There is a reality in bringing the first of a kind technology to full scale that can’t be avoided. I mean you have to go through the effort of learning what you don’t already know. It’s normal; it’s part of the game to make technologies real and successful at full commercial scale. In our case, our team did a very, very good job of quickly pinning down the issues to something actionable. This is hard-bought knowledge and leads to success and it leads to competitive advantage. We figured out what we need to do; now we need to go and do it. As we do our isobutanol process improvement work, we actually don’t need to run the Luverne facility, that’s actually a luxury. Sometimes with technologies you have no choice, but to run the experiments in large scale facility. And while we have paused our isobutanol production to take advantage of our flexible technology, we might revert back to ethanol production if it makes economic sense. This temporary switch to ethanol production would accomplish two objectives, both of which are important. Number one, it would demonstrate to our ethanol partners that our retrofitted plants can in fact switch between isobutanol and ethanol, that’s extremely important to them and differentiates our technology from others. And number two, it could allow us to generate incremental cash flow while our team optimizes the isobutanol technology. Now even if we opt to switch to ethanol production, it’s really important to realize we can switch back to isobutanol anytime that we need to. For example, to produce more volumes from market development work, it’s got to make good business sense to that, but we could do it. As it relates to ethanol production, it’s important to understand ethanol economics are very, very local, meaning its local commodities that drive plant profitability. Now we’re lucky, Luverne is situated in a relatively good part of the Corn Belt. The core harvest in that part of Minnesota has been decent this year and that’s reflected in the fact the local corn is trading less than the Chicago Board of Trade prices. Our plant manager reports current local pricing is about $0.08 below CBOT. Additionally, the value of DDGs is high, that’s the annual feed product, it’s running close to the value of corn itself on a per pound basis, and that adds significant impact to the plant economics. So in this example with ethanol trading at $2.26 per gallon in the region, Luverne at 22 million gallons of ethanol capacity and if we’re running ethanol, we’d be running a positive EBITDA level today versus idling the plant. Now, I’d remind everyone of these kind of economics because the primary objective reverting back to ethanol is to manage our cash flow. Yes, we want to demonstrate that we can switch back and forth for our partners, but it is about minimizing the cash outlays and ethanol could provide an opportunity. Let me emphasize our decision then is our decision to temporarily switch to ethanol hinges on the economics to producing ethanol versus simply idling the plant. If we cannot generate incremental cash above the cost to idle the plant, we won’t produce ethanol. The objective is simple, do whichever burns the least amount of cash until we switch back to isobutanol production. Summarizing where we are, to reiterate, our primary goal is to resume isobutanol production in Luverne in 2013 when we can consistently deliver isobutanol to our customers and generate a positive contribution to margin at the plant level. In the meantime, we want to wisely manage our cash. Now, turning to customer development, interest in our renewable isobutanol as a drop-in chemical, drop-in blend stock for fuel and as many hydrocarbon derivative applications continues to expand. As it relates to fuels, I’m pleased to announce we’ve received a follow-on order for biojet from the Defense Logistics Agency. As many of you know, at the end of June, the Air Force had very successfully flown an A-10 warthog using a 50-50 blend of our isobutanol derived jet fuel, its called ATJ8. This new 45,000 gallon order follows that success and we look forward to continuing this work with the Air Force. This also overlays and is critical to the work ongoing for the ASTM's certification of commercial jet fuel. Our work with Sasol is going well too. Sasol has many interested customers; they’re continuing to work with us until we could provide the ratable volume. And most importantly, they remain committed to purchasing the majority of our production at Luverne. There’s been no change to our relationship. They are a great customer partner, a great example, they understand start-ups, they understand what needs to be done and they work well with us. LANXESS continues to be interested in buying renewable isobutanol to help displace petroleum based isobutylene, we call as petroleum crackers switch feedstocks from expensive naphtha to relatively inexpensive natural gas liquid, which of course are made inexpensive because of the dramatic increase in shale gas production. The supply of full carton building blocks including butylene is becoming tight. Cheap natural gas is a very positive mega trend for us. In the chemical markets, in the other chemical markets, we’ve received funding from Toray for renewable paraxylene work, and Coca-Cola remains intimately engaged in the important development work related to fully – with producing fully renewable PETs. Our work in the marine fuel area is ongoing and remains very encouraging. Boarders and new manufactures and marine fuel suppliers are looking for a fuel blend it has oxygen in it that is non-soluble in water. The incumbent oxygen in it in gasoline as ethanol, it doesn’t meet this requirement, whereas gasoline blended with isobutanol eliminates the water solubility concern and ensures compatibility with a variety of engines already used in the industry. The National Marine Manufacturers Association is conducting a second round of testing, which continues to demonstrate isobutanol’s value proposition as a blend stock. And the U.S. Coast Guard and Bombardier Recreational Products plan to test our isobutanol blend stock as well. Additionally, our work in Southeast Asia is progressing. The business plan is developing nicely; we have multiple interested stakeholders both on the customer side and on the project development side, including several large petrochemical companies. We think Southeast Asia will be very strategic to international growth in the future, and we hope to leverage regional relationships for any capital needs to progress those opportunities forward. Turning to other projects, we’re pleased to announce we’ve signed an LOI with Midwest AgEnergy Group to evaluate retrofitting one or more of their ethanol facilities. Midwest AgEnergy is a biofuel development, an affiliate of Great River Energy, a Minnesota electric cooperative serving over 1.7 million customers. The LOI covers Blue Flint Ethanol, a 65 million gallon per year ethanol biorefinery, operating in North Dakota and Dakota Spirit AgEnergy a planned 65 million gallon ethanol biorefinery also based in North Dakota. This opportunity looks interesting because we see Midwest AgEnergy’s assets as one potential pathway to produce advanced isobutanol. Advanced isobutanol is interesting because we give the parties involved a potential to capture upside from receiving higher value advanced RINs. Just to be clear, we don’t need advanced status to justify the economics of retrofit, but it is a nice upside. Midwest AgEnergy Group sees isobutanol is potentially providing them an opportunity to further maximize the value of their facilities, but making them capable of producing products for multiple markets higher value fuels and chemicals. Then on the organizational front, I’m very pleased to have Chris Ryan, our company’s President and Chief Operating Officer assume the additional role of Chief Technology Officer. Many of you know Chris, he started NatureWorks with me and was NatureWorks’ Chief Technology Officer, where he led both the development of the yeast biocatalyst and their biobased polymer. Deployment of the lactic acid producing yeast at Cargill NatureWorks is the only time in history at which I’m aware that a genetically modified yeast has been successfully deployed in a commercial setting in a giant non-sterile fermentation system that is until we did it here recently with isobutanol. What was done back with Cargill NatureWorks is very similar to what we are doing at Gevo right now, in terms of bringing the technologies fully in line. Transitioning from an R&D organization to a commercial production focus always takes work and integrating technology and operations is crucial for success. Chris is very, very good at it. Finally, I’ll turn the discussion over to Brett Lund, our General Counsel. He will talk over our intellectual property activities.
Brett Lund: Thanks, Pat. It was a busy quarter; we’re gearing up for a trial in April and planning to win. This quarter we also received a number of key patents from the USPTO; we successfully challenged Butamax’s patents and filed additional lawsuits. I’m really looking forward to the trial in April. As many of you know, a number of a neutral third parties has spent hundreds of thousands of dollars over the last several years to have their IP attorneys review our patent portfolio in great detail, and they’ve all come to the same conclusion that we have. Then they put their money where their mouth is by investing, partnering or working with Gevo. Some of the companies I’m referring to include Coca-Cola, UBS, Total, Citibank, LANXESS, Virgin Green Fund, Piper Jaffray, Toray, Baird, Sasol and Land O' Lakes Purina. These companies have some of the most valuable brands in the world and they don’t make these decisions lightly. I’d be surprised if Butamax as a private company has had the same level of scrutiny on their intellectual property. In addition to these companies, the USPTO has also agreed with us. We’ve challenged five of Butamax’s patents which we believe are invalid. The USPTO has granted re-examination of every patent we challenged, and most importantly, they rejected and declared unpatentable every single claim within those patents that we challenged. In addition to all of these companies and the USPTO, the court system has also agreed with us. The District Court decidedly ruled in our favor in the preliminary injunction, and the Honorable Judge Sue L. Robinson’s judicial opinion she stated that the plaintiff Butamax does not hold a valid patent nor would the defendant Gevo infringe it if it did. Now, the Federal Court of Appeals has also granted a motion to stay a previously issued District Court status quo order, and in granting this motion the Appeals Court determined that Gevo had at a minimum established a substantial case on the merits. Additionally, we recently received three very important patents covering our bio-catalyst and our separation technology. We will continue to vigorously enforce these patents and the rest of our intellectual property. I’d now like to turn the call over to Mark Smith for a review of our financial statements. Mark?
Mark L. Smith: Thank you, Brett. As we’ve previously discussed, in May, we stopped producing ethanol and commenced startup operations for isobutanol production at Luverne. As a result of stopping ethanol production and being in startup mode for isobutanol production, we reported revenue of $600,000 in the third quarter of 2012 versus $17.5 million in the third quarter of 2011. With our focus on the startup operations, we’ve produced quantities of isobutanol at Luverne for customer testing and future years in production of jet fuel for the U.S. Air Force as well as for other customers. We did not report product revenue in the third quarter of 2012. Our third quarter 2012 revenue of $600,000 comprised grant revenue and research and development program related revenue under our agreement with Coca-Cola. Research and development expense was $5.4 million in the third quarter of 2012 compared to $5.2 million for the third quarter of 2011. The focus of our development activities in the third quarter of 2012 were on startup operations at Luverne. The increase in research and development expense in the third quarter reflected increased personnel expense due to increased head count and severance cost, partially offset by the impact of incurring construction related cost at the hydrocarbon demonstration facility at South Hampton Resources in the third quarter of 2011, which were not incurred in this quarter. SG&A expense for the third quarter of 2012 increased to $13.5 million compared to $7.6 million for the same period in 2011. The increase in SG&A was driven by legal expenses primarily in support of ongoing litigation. As we’ve described, these expenses ebb and flow with activity. As Brent has described, this recent quarter activity – this recent quarter included activity related to planning to win in the trial for April – in April, preparing for various hearings, various lawsuits and patent reexaminations. We fully intend to defend our intellectual property and our freedom to operate. Within our total operating expenses for the third quarter of 2012, we reported $1.5 million of non-cash stock-based compensation. Interest expense for the third quarter of 2012 was $2.6 million compared to $800,000 in the third quarter of 2011. The increase resulted from interest incurred on the $45 million 7.5% convertible notes due in 2022, which were issued in July 2012. We also reported a non-cash gain of $15 million related to changes in the fair value of embedded derivatives contained in the convertible notes. These derivatives result from the right that debt holders have upon conversion and will result in non-cash amounts being recorded in our statement of operations in each of the reporting periods and those remain outstanding. For the third quarter of 2012, we reported a net loss of $12.1 million or $0.31 per share. This compared to a net loss of $12.3 million in the third quarter of 2011. Cash on hand at the end of the quarter was $92 million. From an operations perspective, 2012 was all about startup activities in our Luverne facility. Based on projected operations at the Luverne facility and including our actual results through the third quarter of approximately $8.5 million, we anticipate using $10 million to $12 million in 2012 to support plant startup and working capital needs. This includes costs we would incur if we go forward with our plant switch back to ethanol production in the fourth quarter. Our EBITDA loss through the first three quarters of 2012 was $49 million. As with any development stage company, our expenses do not follow our reaching pattern, rather they fluctuate with the specific activities. In our case, mainly startup operations at Luverne and recently changes in the litigation-related activity. We anticipate that the third quarter EBITDA loss being greater than prior quarters with our focus on startup activities. For the third quarter, our EBITDA loss was $22 million. This included startup cost at Luverne and litigation activity as well as costs related to previously announced organization changes and costs related to closing our concurrent debt and equity offerings in July. With this quarter behind us and the impact – and the positive impact of implementing changes in our cost structure, we now project a full year EBITDA loss in the range of $60 million to $63 million. We’re currently engaged in our 2013 planning process. As Pat outlined, our planning focus is on the resumption of isobutonol production in 2013 at an economic rate of production. Without being shortsighted with regard to our development goals and defending our premium to operate, we’re also focused on preserving cash. With that in mind, we have taken a number of actions in the second half of 2012 to reduce our ongoing cash burn. We recognize that along with our people having the cash available to execute our strategy is critical to our mission, and we are planning and acting accordingly. I’ll now turn the call back to Pat.
Patrick R. Gruber: All right. Thank you, Mark. And with that I think we can go straight to the questions. Anne, if you’re there, could you open it up for Q&A, please.
Operator: Okay. Thank you. (Operator Instructions) And our first question comes from line of Mike Ritzenthaler with Piper Jaffray. Please proceed.
Mike Ritzenthaler – Piper Jaffray: Hey, guys.
Patrick R. Gruber: Hi, Mike. How are you?
Mike Ritzenthaler – Piper Jaffray: Good. So the new order from the Air Force, is that going to create any logistical complications in South Hampton as you scale up paraxylene production there for Toray?
Patrick R. Gruber: No. Two separate things. So we have – the plant that’s down at South Hampton is those jet fuel of octene and the octene is actually the raw material for making paraxylene, so they kind of go hand in hand.
Mike Ritzenthaler – Piper Jaffray: Okay. So, in terms of the work that you’ve already done for the Air Force, all the CapEx that’s needed is already there and the stuff that you do for Toray would be an add-on to that?
Patrick R. Gruber: You got it.
Mike Ritzenthaler – Piper Jaffray: Okay.
Patrick R. Gruber: Yeah. So to get this picture in mind of what we are talking about, we have a demonstration facility to make jet fuel of octene and octane down at South Hampton. It’s a nice little plant, works very well and to that we would add the incremental capital to do the paraxylene, and that’s actually what the development program with Coke and Toray take into account and what those guys have stepped up for.
Mike Ritzenthaler – Piper Jaffray: Okay. That makes sense. Then I was kind of hoping that Chris would be in the call, but I wanted to ask a question about sort of his approach to the technology organization and what – any sort of changes that he is going to bring to that role versus his predecessor?
Patrick R. Gruber: Well, you know what, I can – let me explain why we made that change is that we move from a technology R&D focus, initial commercialization focus to trying to bring together a full optimization, you wind up thinking differently about it. Chris, of course, has had experience of running these kinds of operations and in doing these kind of integrations, because that’s what his previous job was in his past life at Cargill and NatureWorks. He is very, very good at it. So when you do that, you really need one leader leading the charge and organizing everybody. Now David Glassner did a great job for us, Dave is still a consultant for us and so we don’t lose his expertise. But this does bring in the clarity of focus; it also then helps our long-term cost structure as we look forward to what we need to do.
Mike Ritzenthaler – Piper Jaffray: All right. That makes sense. I’ll hop back in the queue. Thanks guys.
Patrick R. Gruber: Yeah.
Operator: And our next question comes from line of Ben Kallo with Robert W. Baird. Please proceed.
Ben Kallo – Robert W. Baird: Hi, good afternoon, guys. Just to clarify, so are you still producing isobutanol? And if so, can you give us kind of an idea of how much you are producing?
Patrick R. Gruber: Yeah, well, we finished producing isobutanol what, maybe about a week ago. And we’re still – there’s been a couple more experiments that we want to do in the plant before we shut it down. And so we’re up in the total gallons produced and shipped, or of the total gallons produced, stored or shipped where it’s 150, 000 plus gallons. And as you know, most of that was done in the last several weeks.
Ben Kallo – Robert W. Baird: Okay. And then can you give us an idea if you can about when you’ll be ready to switch back to isobutanol if you do start producing ethanol?
Patrick R. Gruber: Not yet, I mean, the guidance we’re only giving now is to say we’ll do it sometime in 2013. I’m sorry not to be more specific. But at this point, I think it’s the prudent thing to do.
Ben Kallo – Robert W. Baird: And then with the AgEnergy, congratulations on the LOI. What’s it about those plants, can you give us an idea what makes that advanced status?
Patrick R. Gruber: Yeah. They use green energy sources. So in other words their gas, electricity is green rather than made from petroleum or petrochemical products. And what that does is it lowers the greenhouse gas footprint. And when isobutanol can be produced from corn, we have a greenhouse gas footprint that’s below 50% greenhouse gas reductions compared to the referenced gasoline standard then it can be qualified and carry those RINs.
Ben Kallo – Robert W. Baird: Great. Thanks guys.
Patrick R. Gruber: Yeah.
Operator: And our next question comes from the line of James Medvedeff with Cowen and Company. Please proceed.
James Medvedeff – Cowen & Company: Good evening.
Patrick R. Gruber: Hi, Jim.
James Medvedeff – Cowen & Company: Good afternoon, I guess where you guys are. So, just a follow-up on that last question, how much greenhouse gas, lifecycle greenhouse gas emission reduction do you think you can get at that plant?
Patrick R. Gruber: I don’t know yet fully. In those kind of studies, where you look at the lifecycle footprint, you get well below 50%. You have a reduction greater than the 50%. And how low will it go, there it depends on how exactly the energy generation is done.
James Medvedeff – Cowen & Company: Okay, thanks. And just switching back to that Air Force follow-on contract, how much isobutanol do you have in inventory now?
Patrick R. Gruber: Across our system? Less – it’s pretty much of – how much we have, about…
Brett Lund: Well, over 100,000 gallons.
Patrick R. Gruber: Yeah, yeah, about 100,000 gallons.
James Medvedeff – Cowen & Company: Okay. So about half of that is – or maybe a little more is targeted to go down to sales B2B turned into jet fuel right? Is that fair?
Patrick R. Gruber: Yeah, if we were to stick to the inventory that we currently have, yes.
James Medvedeff – Cowen & Company: Okay, thanks. And just one more, and then I’ll get off and get back in the queue. It looks like PP&E jumped by about $8 million in the quarter. I wonder, if you started up operations at Luverne, what did you spend $8 million of capital spending on? Or is my math wrong?
Brett Lund: It was some finishing up of equipment installations done in the third quarter and the results are paying off with the assets that were in place that accrued in accounts payable in the quarter.
Patrick R. Gruber: Yeah, there weren’t – it wasn’t anything – there was no $8 million bite.
James Medvedeff – Cowen & Company: Okay.
Patrick R. Gruber: It was leftover stuff. We did spend about – we spend a little bit of capital doing some fixes to the plant when we started it up.
James Medvedeff – Cowen & Company: Yeah.
Patrick R. Gruber: There were some – with a relatively small capital.
Brett Lund: Well and also finishing up under the contracts, you hold back little piece…
Patrick R. Gruber: We did.
Brett Lund: …equipments qualified in.
Patrick R. Gruber: Right. It has to work before we pay.
James Medvedeff – Cowen & Company: That’s a good business. Thank you very much.
Patrick R. Gruber: Thank you.
Brett Lund: Thank you, Jim.
Operator: And our next question comes from the line of Pavel Molchanov with Raymond James. Please proceed.
Patrick R. Gruber: Hi Pavel.
Pavel Molchanov – Raymond James: Hello, thanks for taking the question as always. Back to kind of Luverne timing issue, so a little over a month ago you obviously were not in a position to give us this timeline for resuming butanol output. When do you think you’ll – better sense of when that’s likely to occur?
Patrick R. Gruber: Well, probably our next earnings call, I mean, I definitely will be talking about it and informing you guys. We want everyone to understand what we’re doing, but I don’t want to make the same mistake of putting a milestone out there that I might change later for business reasons. And so, what I want to do is make sure that I’ve got my confidence level of certainty up and all the rest. I don’t want to let anybody down. And so the game here is really get our ducks in a row, we – 2013 is what we say right now. When exactly in 2013? We have stuff to do. I really – we’re in a interesting position because I really want to run the plant and make it go for real and push it well past, that breakeven run rate. And I want to continue serving the market once we start serving the market, I don’t want any kind of supply interruptions. And so, that’s what our focus is all about. It has been able to do that. So I can give better guidance later.
Pavel Molchanov – Raymond James: And just a question for you, Pat, as well as anyone else on the call. I mean, obviously, a lot of shareholders have been very frustrated with the stock year-to-date, and I think a lot of them would be interested in knowing – should they expect you guys to step up and accumulate some shares in the open market when this call wraps up and hopefully the market reopens.
Patrick R. Gruber: Yeah, I think there is a three-day blackout window for us still – two-day, two-day blackout window from today because the market has to be able to absorb whatever we talk about in this phone call and I can’t be in the possession of any material knowledge, say on Friday.
Pavel Molchanov – Raymond James: Right. So at that point though you guys do – plan to do that?
Patrick R. Gruber: I’m looking around for advice from people. I can’t tell you --
Pavel Molchanov – Raymond James: You can say for yourself, I would---
Patrick R. Gruber: No, mike, Pavel?
Pavel Molchanov – Raymond James: Yeah.
Patrick R. Gruber: Yes, so you have to wait until we do.
Pavel Molchanov – Raymond James: All right. I appreciate you guys.
Operator: And our next question comes from the line of Shawn Severson with JMP. Please proceed.
Shawn Severson – JMP Securities: Thanks. Good afternoon. So, I was wondering if you can talk a little bit about looking at – looking at the Butamax situation in April and most of these do not go to trial in the biotech industry and there is some type of settlement, but I was just wondering if you guys have any good examples or thoughts of other situations in the industry or comparables and what type of deals were struck between the two parties. And then, what would seem to be an amicable solution, I guess for you guys or what you would expect?
Patrick R. Gruber: I’d like to turn this to Brant. Do you want to answer it Brant?
Brant DeMuth: Sure. So, as you highlighted, this is not an unusual situation. This happens, quite frequently in technology companies where when you have a particular product and value, you’ll typically have multiple companies going after it. It happens all the time in the biotech space, happens in the Ag biotech space, happens in virtually every technology industry. And typically, these will start with lawsuits and then as you described, ultimately some type of resolution occurs and typically in the form that it takes is a cross-license, and we see that a lot in the biotech space where parties will cross-license to each other pursuant to a specific terms. And looking at the statistics, over 90% of the cases for patent infringement in Delaware ultimately settle before going to trial. And these are the general statistics and obviously, every case is unique and I am unfortunately not able to comment on anything specific to our particular case, but that’s generally how the process works.
Shawn Severson – JMP Securities: And when you talk about a cross-license situation. I mean is it something where you have a strong party and then a weak party to the economics. I was just trying to look for the examples in the industry, I mean that the economics gets split, is it a 90:10 or 70:30, I mean, where do these things usually settle out? Or is it just so different on case by case that you can’t make any type of, I mean assumption where you might have a stronger party and weaker party in a situation like this in terms of IP?
Brant DeMuth: So every case is unique and then it revolves around a number of different factors. Everything from the strength of the IP, strength of the party’s business models, business plans. It’s really almost impossible to make any generalities about where that comes out.
Shawn Severson – JMP Securities: Okay, thank you.
Brant DeMuth: Sure.
Operator: And our next question comes from the line of Caleb Dorfman with Simmons & Company. Please proceed.
Caleb Dorfman – Simmons & Company: Thanks for taking my question. Good afternoon. So, I guess my first question is, it’s obviously nice to see the additional letter of intent with Midwest AgEnergy, then those affirmations on the technology. I know that you described Dakota Spirit AgEnergy, is a planned facility in Gevo’s. I guess the strategy has been to look at retrofitting existing profitable facilities. Can you just explain what you mean by planned facility and how that thought process of looking at planned facilities versus established facilities went?
Patrick R. Gruber: Yeah, they have an established facility, and that’s a retrofit straight away. The other one is a planned facility, and that one to be unique, in that we would tailor the technology to build it in straight away and that will be evaluating.
Caleb Dorfman – Simmons & Company: Why look at building a brand new facility, what would differentiate this facility as a planned ethanol facility from a greenfield isobutanol facility?
Patrick R. Gruber: It’s owned by an energy co-op, they’re about energy, actually not ethanol, they’re about energy, like electricity.
Caleb Dorfman – Simmons & Company: Okay.
Patrick R. Gruber: So they have a different business plan. It’s not about making the biofuel per se; it’s about generating electricity, and then being able to capture advanced RINs. So it’s a little bit different value proposition than a lot of companies, and they’re doing it for a different reason.
Caleb Dorfman – Simmons & Company: Okay. And then I guess, obviously it’s nice to have the additional U.S. Air Force contract, how have the discussions with Sasol or the other companies that you’ve been – have they been pleased with the product they have received, nor they anxious to get more product, or is there any pressure on the timeline for getting more shipment for isobutanol for you then?
Patrick R. Gruber: Not huge pressure, I mean, people want more all the time, but they would be always are careful, they always caution us in that. They want us – when we start supplying for real and then they turnaround to have samples to turnaround to their own customers, they wanted to be – they want us all to be in a position to be ready to do ongoing commercial sales and distribution. What they don’t want is us to say, here it is, here’s the product and then say, oops, just kidding, that’s destructive. So the sampling for isobutanol is quite easy, isobutanol is pretty much isobutanol. So that’s part is easy, but they’re good customer partners, they all understand the start-up good relationships with them and keep pretty close to them. I couldn’t actually ask for better start-up partners than – better customer partners in the startup situation than what we have. So it’s very different than – there’s lot of companies make this mistake of just pushing a product out the door in the quest of revenues or pressure from investors, just go ahead and generate revenue and do what you can, and lot of people want to push us to too that’s a mistake in that situation. We have to get our ducks in a row, make sure that we can hit all of our goals in the short-run and the long-run because ultimately that’s what’s going to matter and then do the supply in appropriate way.
Caleb Dorfman – Simmons & Company: That’s helpful. Thank you Pat.
Patrick R. Gruber: You bet.
Operator: And our next question comes from the line of John Quealy with Canaccord. Please proceed.
John S. Quealy – Canaccord Genuity, Inc.: Hi, good afternoon folks. Can you hear me, all right?
Brett Lund: Yes, we can, John.
John S. Quealy – Canaccord Genuity, Inc.: Hey, one for Mark. Just to clarify, Mark, I think you said for the full year from an EBITDA loss perspective, $60 million to $63 million, is that right?
Mark L. Smith: Confirmed, yes.
John S. Quealy – Canaccord Genuity, Inc.: And so that’s about $6 million or $7 million in EBITDA loss for Q4, does that assume any ethanol revenues or you guys just going to be zero for the Q4 period for RINs excluding grant revenue?
Patrick R. Gruber: The truth is, I don’t know yet. The truth is, I don’t know, it will totally depend upon the economics. I mean, do you have – Mark, what do you think?
Mark L. Smith: And that’s correct. We really have the – it’s really a bottom line response, not a top line driven response as we’re managing to. So as Pat described, we’re not yet making ethanol. So we’re not really focused on the top line, we’re really focused on managing bottom line because we’re really focused on managing our cash.
Brett Lund: I would reiterate, John. It does assumes a startup costs or a switch over costs is probably better way to articulate it to ethanol.
Patrick R. Gruber: Yeah.
Brett Lund: So we’re trying to be conservative.
John S. Quealy – Canaccord Genuity, Inc.: So even if you don’t produce a lot of it, you’ll have the costs setup in Q4 and then if you run rate it in the Q1 or whatever, you have this one-timers done?
Mark L. Smith: Correct. It takes a couple of weeks to do the switch over. So that’s why – that’s why we set up the way it is.
John S. Quealy – Canaccord Genuity, Inc.: Got you, okay. And then just to the legal side of things, if you got to go ahead to trial in April – or what benchmarks we should use if you guys don’t settle when should we hear from them et cetera?
Patrick R. Gruber: John, can you reiterate that – it was a little garbled there I think the weather is impacting you.
John S. Quealy – Canaccord Genuity, Inc.: In terms of the April trial on Butamax, if you do go to trial and the judge does rule, remind us again what are good benchmarks about timing for rulings or when should we think about that?
Patrick R. Gruber: Sure. So in terms of timing of ruling, it’s really kind of up to the court, but we would anticipate getting a ruling fairly shortly thereafter, within the matter of weeks. So there’s not going to be a long drawn out extended process hopefully. So we’re looking for that fairly shortly. I also mentioned that we recently added a gentleman named, Stephen Neal to our Litigation Team as we come up to that trial. Steve is the Chairman and CEO of Cooley, our litigation law firm and one of the best litigators. He also happens to be Chairman of Levi Strauss & Co., an extremely experienced, high regarded litigator that we’re pleased to have on the team as we go into trial.
John S. Quealy – Canaccord Genuity, Inc.: Great. Thanks, guys.
Patrick R. Gruber: Thanks, John.
Operator: And our next question comes from the line of Mahavir Sanghavi with UBS. Please proceed.
Mahavir Sanghavi – UBS Securities: Hi, guys, thanks for taking my question. As you said in your prepared remark, I just wanted to make sure I understood it right. You said that the run would be profitable if you’d made ethanol. So I’m just trying to make understand what is going to drive the decision to move to ethanol or not? And what would be a burn rate would be if you don’t switch to ethanol, what would be a monthly burn rate?
Mark L. Smith: Okay, I’ll answer the second one first, right. Actually, it’s Mark, let’s just – answer the second question first, the cost of that $0.25 million a month to just have the burn…
Patrick R. Gruber: Just have the plant $250,000 a month just to keep the plant hot keep it the pipes working keep everything ready to go production and the full staff and that’s where the cost per month. Now what actually said Mahavir was that we are the benchmark that we would compare to is anything better than a $250,000 outlay, if we can make something between lose less money to $250,000 a month by producing ethanol then we would switch to ethanol maybe. So that’s what we said is, isn’t just that we said would be profitable at – at making ethanol in the plant today. Right now looks like it would be a slight loss. So we haven’t made the decision, I want to see a little bit more of the corn harvest goes and I want to see a little bit more how DDG is hold up and I want to see a little bit more about ethanol pricing before actually pull the trigger.
Mark L. Smith: Remember this is a very local market. So you’ve got to watch the thing very locally, but those are the three elements you watch ethanol price in corn costs and DDG pricing.
Patrick R. Gruber: Yeah that’s will look at. So, and they’re all very local and we’re in a good position. So it’s about covering managing if we can save suppose hypothetically suppose we again run ethanol and then suppose we lost a $100,000 a month, versus the $250,000 a month that might be the thing to do, but we’ve got a look at one we’re closer to it.
Mahavir Sanghavi – UBS Securities: Got it. And then Mark, if you can help on the CapEx, what is the total CapEx spend and severance so far and maybe your early estimate on what additional CapEx is needed.
Mark L. Smith: It’s about $55 million, but I would remind you that there is a number of things that have been added to the burn which we think what we’ve commented that has been unique and that is adding a EC train making the capacity of the plant much larger adding an additional equipment to monitor those operations as well as capitalized interest and some planning costs in that total included in that $55 million number I gave you is about $25 million. So that side, that’s what we spent. In terms of base retrofit, we consider ourselves down as close as we – as we go through this planning process there maybe odds and ends of equipment, we add to it that it will be, we don’t anticipate significant CapEx at Luverne even like major CapEx Luverne at all going forward.
Patrick R. Gruber: Yeah, so for instance there is a couple piece of equipment that we have tweaked where we already bought the purchase tweak on their tape already.
Mahavir Sanghavi – UBS Securities: Got it. And with that just a clarification, I just want to make sure I heard you right, did you imply that you would be buying back stock is, that a board approved a buy back.
Mark L. Smith: No, I think Dallas asked me by person is going to show some doubt to purchase stock because it’s so darn undervalued, and as a good business person I would be wise to do so. I think that’s (inaudible) asked me and I was trying to not commit to anything as I don’t know what the ramifications of that are, although I do agree with the assumption that it will fully undervalue and a good job.
Patrick R. Gruber: To be clear, we do not have a Board approved stock buyback program.
Mahavir Sanghavi – UBS Securities: Got it. Thanks so much.
Operator: And our next question comes from the line of Michael Klein with Sidoti & Company. Please proceed.
Michael Klein – Sidoti & Company: Hey guys good afternoon.
Patrick R. Gruber: Hey, Michael.
Michael Klein – Sidoti & Company: Just one question. So obviously the LOI is good to hear and I guess my question is just about partnerships upstream and bringing more volume online. In the past you’ve quantified it, I think it was upwards of maybe a $1 billion that you get a billion gallons of ethanol production that you guys have been in talks with, what’s the state of that now. Can you just kind of give a high level overview, just maybe how your negotiations and how your talks are going in terms of bringing more volume online?
Patrick R. Gruber: Yeah. Glad to. Yeah, it’s interesting, we’re probably we’re up in the several billion gallons now and that’s because of ethanol under duress and people look to it is an opportunity. The think it’s attractive for producing isobutanol from the eyes of the ethanol plant owner is that provides some optionality and some of you have probably heard that from the marketplace and potential partners. And what’s interesting about it is that, if you’re planning out these projects over the next into 20 year like you’re thinking of, it may be that the world is in a changing place and so in the fuels market ethanol really is, ethanol has some good properties and so you can come up with scenarios that say, there could be a nice market for ethanol. On the other isobutanol has some nice properties on fuels too, but if you’re going to think that isobutanol is simply about isobutanol is a gasoline blend stock then you’re missing the point of the story, point of the story is that isobutanol goes in the chemicals that to be made in the hydrocarbon fuels and these are absolutely direct (inaudible) same oil jet fuel, same oil gasoline and hydrocarbon versus or PET. So isobutanol offers a host of different opportunities, so as people step back and they look at it, the compared technologies that are out there, they look at ours and they look at the state of development, they look as Brett referenced people are – they’re not put off by the patent lawsuits, because on a new technology there is always a fight. The interest is pretty higher than several been I’d say.
Michael Klein – Sidoti & Company: Okay. Did you have anyone or I don’t know how much detail you can go into, but just in terms of where you were in the negotiating process – people get spooked by the update a month ago or people understand that and hasn’t really changed their outlook on your technology and what you bring to the table?
Patrick R. Gruber: Right. It’s an interesting question, we had – what’s interesting about it is we had everybody has been around a processing business, they actually think we’re making good progress because they know that this is pretty much normal, you’ve got to go through these basic steps I outlined in my comments here, and that is make sure the equipment works, push the process to figure out, where the issues lie because the goal isn’t simply generate few gallons as said how do you get to be really in the economic plant and you only can do this kind of learning when you’re initially starting up that plant because once you start supplying, you can’t do shutdown supply, say excuse me, I’m going to go take a few months and go learn something. You can’t do that to customers that’s how you destroy yourself. So everybody who’s been around the block understand that this is in the normal category, we’re doing it pretty quickly, we happen to be lucky in our technology because of the kind of technology it is we are doing a fermentation optimization. We have some equipment modifications too, but it’s around the fermentation optimization that stuff that we can do in a laboratory and in pilot plants rather than try to run expensive experiments in the big plant. So we’re lucky in that regard and likewise, I’d say it cuts across all of our partners to same perspective, so even if they are ethanol producers, they all understand that this is in the normal category. Now in my career as I mentioned, we have – I don’t a whole bunch of these kind of technologies, I’ve other folks on our team here, who worked for other companies, big chemical companies always, always, always in a new technology, there is issues that has to be worked through and overcome, and the timeframe to overcome those depends upon how open minded the folks are and how good they are about separating out the complexity of these giant production facilities to figure out what really is a critical issue and then get after and solve it. So yes, the short version story of the long-waited answer – the short version is no, I haven’t put them off at all, and in fact it’s worthwhile asking.
Michael Klein – Sidoti & Company: Great. Thanks for the color.
Operator: And our final question today is a follow-up from the line of Mike Ritzenthaler with Piper Jaffray. Please proceed.
Mike Ritzenthaler – Piper Jaffray: Hey, just a couple of quick simple follow-ups. On the AgEnergy Group plants. Are those ICM plants are delta of these?
Patrick R. Gruber: No, I should let them stick to their own design.
Mike Ritzenthaler – Piper Jaffray: Okay, fair enough. And then on Red Field. Could you guys just give us a few lines on in terms of an update on where the engineering lays for that?
Patrick R. Gruber: We haven’t worked on it other than finish all out, some of the very preliminary stuff that we were doing, we’re still, I take it every engineer and we’re applying it to the things we have to do at our Luverne facility.
Mike Ritzenthaler – Piper Jaffray: Sure. That make sense.
Patrick R. Gruber: Yeah. We’ll stay on that one. There is a bunch of – there is a bunch of folk that we were – we had an Analyst Day, right and the Analyst Day, we had a bunch of folk down to our plant or showed them around, it helped I think for everyone to get a sense of the size of what we’re doing, it’s not demonstration plant, this isn’t a toy. It’s a big plant and works pretty well actually for initially out of the blocks. But I am keen on getting us to that full production rate profitability. I want to make sure that we’ve got all the engineering work done while we have the opportunity to do so before we launch into a second project, so I want to get the learning. Basically what I am saying is, I still want to continue – same as what I said before, get the learnings under our belt from Luverne and before I get two carry ways spending money at Red Field.
Mike Ritzenthaler – Piper Jaffray: Yeah, that makes sense. I just wanted to confirm.
Patrick R. Gruber: Yeah.
Operator: Ladies and gentlemen, this concludes today’s question-and-answer session. I would now like to turn the call back to Mr. Patrick Gruber for closing remarks.
Patrick R. Gruber: All right, I appreciate everybody joining us. I know that the storm out east is a major, major hassle from the folks that I talked to. Thanks everybody for joining us. And as you know, feel free with the follow-up. Brant, will be the point person for doing that, and I’ll join in. Thank you.
Mark L. Smith: Thanks, everyone. Have a good day.
Operator: Ladies and gentlemen, we thank you for your participation in today’s conference. This concludes the presentation and you may now disconnect. Have a good day.